Operator: Greetings and welcome to the Kandi Technologies Third Quarter 2016 Financial Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Kewa Luo, Investor Relations Manager for Kandi Technologies. Thank you, you may begin.
Kewa Luo: Thank you, Operator. Hello everyone and welcome to Kandi Technologies Group’s third quarter 2016 earnings conference call. The company distributed its earnings press release earlier today and you can find a copy on Kandi’s website at www.kandivehicle.com. With us today are Kandi’s Founder, Chairman and Chief Executive Officer, Mr. Hu Xiaoming; and Chief Financial Officer, Mr. Henry Wang Cheng. Both will deliver prepared remarks followed by a question-and-answer session. Before we get started, I’m going to review the Safe Harbor statement regarding today’s conference call. Please note that the discussions today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the Company’s results may differ materially from the views expressed today. Further information regarding these and other risks and uncertainties are included in the Company’s annual report on Form 10-K for the fiscal year ended December 31, 2015 and in other documents filed with the U.S. Securities and Exchange Commission. Kandi does not assume any obligation to update any forward-looking statements except as required under applicable law. As a reminder, this conference call is being recorded. In addition, an audio webcast of this conference will be available on Kandi’s investor relations web site. I will now turn the call over to Kandi’s Founder, Chairman and CEO, Mr. Hu Xiaoming.
Hu Xiaoming: Hello everyone. Thank you for joining our third quarter 2016 earnings conference call. Today, we will discuss our third quarter financial results of 2016. In the third quarter, we had total revenues of 6.4 million, 87.4% decrease from the same quarter last year and EV part sales was 4.7 million, 90.4% decrease from the same quarter last year. China central government preceded a review on the subsidies paid to all the EV manufacturers which caused the 2015 subsidy payment remain unpaid industry wide. The delay in subsidy payment heavily impacted the JV Company’s production and sales which resulted in a significant decrease in our EV part sales. Although our financial performance this year has not matched up to our past success, we have accomplished a lot of fundamental work for the business growth in the year 2017. First, with a subsidy review in year 2016, after our positive communication with the government, we believe there will be a good outcome soon. There is some misunderstanding with EV battery exchange model adopted by our end consumers to repeatedly and efficiently utilize batteries for the EVs that we manufactured during 2013 and 2014 which was also a challenge to the company’s further development. Taking the opportunity for the clarification with government during the subsidy review, we can clear up disperia [ph] and create a good base for future smooth development. Second, the process of preparing the JV Company to enter into capital market at appropriate time and with strong valuation is on the track as planned. At the same time, we have done lots of work for the JV Company to opt in the vehicle manufacturing license approval in 2017. Finally, we will introduce two new EV models in 2017. Our new models carefully designed to best serve market needs will provide a solid foundation for us to achieve the fast growth in 2017. In addition, in this quarter, we made a significant progress into developing countrywide EVs distribution network for direct sales. We have also signed the strategic agreement with Timba [ph] TLD new energy company for the Zando [ph] Market and a strategic corporation agreement with Shanxi. Shanxi Coal Asset Management Group or the Shanxi Market, both of which paid us the initial payment in connection with both agreements. Although the national government will begin reducing the amount of renewable energy subsidies to all EV manufacturers in 2017, the subsidy program itself will continue through 2020. Under the government’s current subsidy policy, management believes that EVs produced and installed by the JV Company meet national renewal energy subsidy requirement and are eligible to receive subsidy payment. Kandi is currently developing EV market growth strategies that do not rely solely on subsidy payment and is identifying key areas are focused in which to improve Kandi’s earnings capabilities. Furthermore, in September 2016, the Ministry of Industry and Information Technology of China proposed a temporary management regulation or corporate average seal of consumption and new energy vehicle credit which is now pending public comment. The regulation is expected to be more, to formally implement it in 2018 and we believe it reflect a more reasonable method and the government adopted to extend sustainable support to the renewal energy vehicle industry. In addition, we will enhance the cooperation with Geely Automobile Holdings Ltd, after Geely acquired 50% equity of JV Company with plan to further restructure the JV Company. At the same time, as mentioned above, we continuously work how to get the JV Company into the capital market and we expect they will be a good outcome. If this plan can be executed smoothly, the JV Company will opt in a big development capital and lock the space which will benefit Kandi with good investment return and eventually benefit Kandi’s shareholders. Our Hainan facility construction proceed smoothly and we have started to install the equipment as scheduled. We also made progress on the designed product in Hainan’s factory. We expect this product could be well received by the market. With respect to the production license for the new energy vehicle, we have accomplished last or fundamental work. We made our endeavors in the application and hope to opt in the license within 2017. Now, I would like to turn the call to our Chief Financial Officer, Mr. Henry Wang Cheng to give you more details on our financial highlights.
Henry Wang Cheng: Thank you, Mr. Hu and hello to everyone on the call. Now, I would like to provide a brief overview of our financial results for the third quarter of 2016. Please note that all numbers I will discuss today are in U.S. dollars unless otherwise noted. First, let me walk you through the third quarter financial results. Total net revenues for the third quarter were $6.4 million, a decrease 87.4% from $50.5 million for the same quarter of last year. The decrease in revenues was mainly due to the decrease in EV parts sales caused from the JV company’s lower EV product sale. EV part sales were approximately $4.7 million for the third quarter of 2016, or 74% of our total net revenues, a decrease of $44.2 million or 90.4% compared with the same quarter of 2015. Our cost of goods sold was $5.7 million during the third quarter, a decrease of 86.8% from $43.4 million in the same quarter of 2015. This decrease was mainly due to the decrease in corresponding sales. Gross profit for third quarter was $0.7 million, a decrease of 90.9% from $7.1 million for the same quarter of last year. Gross margin decreased to 10.2% in the third quarter from 14.1% in the same quarter of 2015. Margin decreases were mainly due to the production value decrease for battery packing in this quarter. Total operating expenses in the third quarter were $1.3 million, compared with $9.6 million in the same quarter of 2015. The decrease in total operating expenses was mainly due to a negative $1.2 million in the stock liberty [ph] expenses reversal due to weak financial performance in this quarter. Net loss was $0.6 million in the third quarter compared with $2.3 million in the same quarter of 2015. The decrease in net income was heavily affected by the decrease in revenue while offsetting the stock reward expenses reversal. Non-GAAP net income in the third quarter was $1.8 million, a decrease of $80.1 million from $6.3 million of non-GAAP net income in the same quarter of last year. The decrease was mainly due to the significant decrease of the revenue in this quarter. Let me touch on the JV Company’s financials now. For the third quarter, the JV Company’s net sale was $11.7 million, a decrease of 80.1% [ph] compared to the same quarter of 2015. There were 184 EV product sold including 25 [ph] units for the direct sales and 1,59 units for the micro public transportation projects. Net loss was $0.4 million, a decrease of $2 million compared to the same quarter of 2015. We accounted for our investments in the JV Company under the equity method of accounting as we have a 50% ownership interest in the JV Company. As a result, we recorded 50% of the JV Company’s profit for negative $0.2 million for the third quarter of 2016. After eliminating intra-entity profits and losses, our share of after tax loss of the JV Company was $0.3 million for this quarter. Next, I will review the Company’s cash flow. For the nine months ended as of September 30, 2016, cash used in operating activities was $22.3 million compared with the cash uses by operating activities of $1.1 million in the same period of 2015. The major operating activities that provided cash for nine months of this year, we’re increasing accounts payable for $40.2 million a decrease in accounts receivable from the related party for $29 million and an increase in other payables and accrued liabilities for $10.4 million which was mainly from the receipts of governments grants for Hainan [ph] new EV product design and development. The major operating activities that used cash in the nine months of this year were an increase in accounts receivable of $33.3 million, prepayment of $31.7 million for Hainan facility and also $41.2 million still from the JV company. Cash provided by investing activities in the first nine months of this year was $80.2 million as a result of the repayment of notes receivable of $62.4 million netting off the issuance of notes receivable of $51.6 million and also a short term investment matured for $1.6 million. Cash provided by financing activities in the first nine of this year was $1.3 million, as a result of proceeds from the notes payable for $5.2 million netting off by the repayment of notes payable of $5.8 million and also $1.5 million for the decrease of restricted cash. Finally, let’s take a look at our guidance. For the fourth quarter of 2016, Kandi expects net revenues to be in the range of $28 million to $30 million. The company also expects the JV Company to deliver 2200 EV product in the fourth quarter. This [indiscernible] current review which is subject to change. This concludes my prepared remarks for the third quarter of 2016. Operator, please now we can take the questions.
Operator: [Operator Instructions] Thank you. Our first question comes from the line of Ted Schwartz with TAS Associates. Please proceed with your question.
Ted Schwartz: We’ve very little about the Haikou [ph] to start with, we’ve heard very little about the new K12 or even the Rugao facility that was completed earlier this year. Has the K12 been put into full production yet and if so, when are how are sales going, do you expect the MPT car sales to resume aggressive growth under the new rule?
Kewa Luo: The Rugao facility has completed and began the production. We are very satisfied with the vehicle product and believe it will have good sales in upcoming 2017.
Ted Schwartz: And is there any further description he could give on what’s going to be produced in the Hainan plant?
Kewa Luo: Now well, now what I can tell you is that the product should be very exciting since we haven’t disclosed what product is going to be manufactured in Hainan, so I cannot tell you too much at this moment.
Ted Schwartz: Okay, but you expect that in the early part of 2017?
Kewa Luo: Probably mid of 2017.
Ted Schwartz: Thank you very much.
Kewa Luo: Thank you.
Operator: Thank you. Our next question comes from the line of [indiscernible], a Private Investor. Please proceed with your question.
Unidentified Analyst: Kewa, this is a two part question and I will step right in, first, as a shareholder own stock at a much higher average price, I am concerned that the prices staying down for much longer, management may consider a low take out offer to take the company private, is there any reason for my concern?
Kewa Luo: Okay, thank you. Currently we don’t have plan to privatize the company and I believe the stock price drop is temporary.
Unidentified Analyst: Thank you, Kewa and thank you, Mr. Hu. My second question, during this period of depressed stock pricing, shareholders have noted only one small insider purchase of a few hundred shares, given the future prospects of the company, coupled with the depressed stock price, it would be an excellent and noble gesture to shareholders if members of management and directors begin buying additional share. In addition, when subsides are paid allocating funds to purchase for example 3 million to 5 million shares which show significant support by management towards shareholders, are there any discussion by management being considered to this?
Kewa Luo: Thank you. We do have that configuration in buying back shares when the time is proper. But right now, we don’t have a set decision yet. But we will take it into consideration at appropriate time.
Unidentified Analyst: Thank you, Kewa.
Kewa Luo: Thank you.
Operator: Thank you. Our next question comes from the line of Steve Miller with Yahoo Kandi Private Group. Please proceed with your question.
Steve Miller: Just to clarify, as discussed on the last conference call, the new $300 million Haikou Hainan facility under construction was ahead of schedule with the structure estimated to being completed in November and operational in the first quarter of 2017. Can you verify that that timeline is still good and I have three related questions?
Kewa Luo: We are still on schedule. We’re probably going to start trial production in early first quarter of 2017. You can go ahead with your three following question.
Steve Miller: Okay. And the first one is the $45 million R&D grant with the $15 million prepaid recently announced the Hainan government was paid to Kandi not the JV. Can you still us is it still the intention for the JV to buy the facility from Kandi or its completion and if so, is the $45 million grant also transferred to the JV?
Kewa Luo: This government grant is for product R&D which is provided to Hainan facility. It is in relevant to the JV Company acquiring Hainan assets, therefore the grant won’t be transferred.
Steve Miller: Okay, my next question is does the recent announcement of the K21 for approval and release early next year being designed for the ride-hailing market like the Uber Didi Chuxing relate to the Hainan cash grant payment and while the K21 be made in the Haikou facility? If not, what the heck is going to be made there?
Kewa Luo: Okay, I would like to clarify the K21 right now in the process of getting approved, so it’s not yet approved, so just to clarify it. Second of all, K21 is a new product on the JV Company and is irrelevant to Hainan facility.
Steve Miller: Okay and then since Uber is now being absorbed by Didi Chuxing, China’s massive ride-hailing company, is Kandi or its facilities now working with Didi as it was with Uber and can you go into more specifics as to what exactly is the nature of that relationship?
Kewa Luo: I like to clarify this. Before Didi Chuxing acquired Uber, Uber already partnered with ZZY, so after Did Chuxing and Uber become one company, I believe ZZY will continue and depend this on partnership with Uber.
Steve Miller: Okay. And just to clarify Mr. Hu’s remark from earlier, did he say whether or not it was the intention for the JV to buy the facility at – from Kandi on its completion?
Kewa Luo: We do have the intention but right now, we don’t have the decision made yet, we will update the market once it’s decided.
Steve Miller: Alright, thank you very much.
Kewa Luo: Thank you.
Operator: Thank you. Our next question comes from the line of Walter Hill with Carty & Company. Please proceed with your question.
Walter Hill: With the expansion of China’s economic growth over the past two quarters, economist are now starting to predict the bottom is the end, and expansion is back underway, even the China based stock exchanges are reaching 6 month highs, with this favorable outlook forming in China and Kandi shares at such a low price, should it in your opinion be more immune to the U.S. stock market turmoil and then I have got one question after that?
Kewa Luo: Thank you. Kandi has a core stock performance this year by which is due to the external impact such as the industry wide subsidiary yield but with the fundamental works the company has been undertaking, we believe that company will resume its stellar growth that won’t be affected by this.
Walter Hill: I’ve got – I want Mr. Hu to tell me, as a stockholder, why I should go out and buy more stock or be a stockholder of this company?
Kewa Luo: I believe that whether or not buying Kandi shares, it’s really up to your interest and your decision, I cannot make anyone go out to buy Kandi shares to become a shareholder but if you ask me why you investing in Kandi, I believe that Kandi is going to have a bright future like I mentioned earlier in the call that we have laid out a lot of fundamental works and in 2017, we’re going to embrace great growth.
Walter Hill: Thank you. Appreciate it.
Kewa Luo: Thank you.
Operator: Thank you. Our next question comes from the line of Arthur Porcari with Corporate Strategies. Please proceed with your question.
Arthur Porcari: Thank you. Mr. Hu, tough quarter, but glad to see you are looking forward to this significant turnaround beginning in this four quarter. All things equal, you must be commended for heap and cost last quarter under control. Lost are still minimum and the balance sheet strong, no long-term debt and small bank barrowing under very trying condition. I have a comment first and a few question. In two months, Kandi will on a 10th year as a U.S. listed company and as you know, I have been with your from start. In this decade, you have done an amazing job in transitioning Kandi from an unknown profitable off-road vehicle manufacturer to an undisputed leader in pure EVs to the end of last year. This is particularly amazing while having only two losing years, however, Kandi’s stock has now dropped to levels lower than its first year of trading. This is particularly painful to shareholders since it’s also same prices five times higher to 22.50 on daily volumes 10 times higher than current price and volume. At the time of the high stock price, EV sales have only just begun Kandi subsequent achievement as 2014 and 2015 leading EV sales in China was only an unknown hope, Kewa, why don’t you go ahead and tell him that much, and I will finish it. As Kandi founder and largest shareholder, being the stock price here must be particularly painful to you and your decade of exceptional business performer as an early adaptor and trillion dollar EV industry in China. Well others may have more specific question, my interest is dealing in the future and have two core and some question. First question, in January this year, Mr. Hu gave an outlier industry speech warning the government the regulatory inconsistency, there should be industry problems ahead in 2016, we did this [ph] at the GNEV conference in January. This is contradictory to five other top industry sales but the same form predicted a double MEV sales over 2015. In hindsight, Mr. Hu was correct, they were wrong, and my questions are do you feel the vast regulatory changes that are being made will clear off most of your past concern and allow the industry and Kandi and particularly to resume its past exceptional growth in 2017 and beyond?
Kewa Luo: Like what I have commented in the past, the subsidiary yield isn’t very best thing after all. In fact it has clear obstacles s for the development and like the industry to resume the exceptional growth, in our opinion 2017 is going to be full of excitement. We feel very confident that Kandi would regain its rapid growth in 2017.
Arthur Porcari: Okay, as Mr. Hu mentioned recently the founding partner of the Kandi Geely JV, Geely Auto formerly attributed sales with 50% that’s significant premium over the 2014 investment to privately held Geely Holding, wholly owned by China’s auto billionaire industrialist Li Shufu who is current Chairman of Geely Auto, 43%. He also own a 100% of the stock in Volvo and London Black Cabs two formerly fallen auto industry icons that are now prospering under his leadership. My questions are can you tell us why it was prudent for Geely Auto to make this fail and Geely Holding to buy it in Li Shufu’s point of view.
Kewa Luo: My opinion at the Geely equity transferring from Geely Auto to Geely Holdings is worth [ph] and the company has expected. We have also done a lot of work for this to happen. This is a strong indication of our partnership with Geely becoming closer and more flexible.
Arthur Porcari: Okay and last part, would the sale deal anticipate any structural – actually I think you mentioned it earlier, you do anticipate some structural changes to the JV and its business model. But what advantages does this ownership transfer add to the JV and Kandi’s benefit?
Kewa Luo: There will be a lot of benefit. First thing first, if the JV Company going to have any partnership with ACL [ph] is the company then JV Company is going to have access to the China capital market and have the resources, few even have more chance to become the Chinese leading EV company. So I believe there is lot of benefit this to – your example.
Arthur Porcari: Well thank you very much. I know it has been a very trying quarter for everyone and I am very much confidence in you and looking forward to a great year ahead and years ahead than that. Thank you, Mr. Hu.
Kewa Luo: Thank you.
Operator: Thank you. Our next question comes from the line of Robert Lampert with RLR. Please proceed with your question.
Robert Lampert: Good morning, since the JV recently took the world recognized Global Hawk name at the advice of Li Shufu several months back, and he is known well internationally will the JV more likely to now begin sales outside of China?
Kewa Luo: Thank you for your question.
Robert Lampert: And I have one more.
Kewa Luo: Okay. I think we will definitely expand overseas when we are fully prepared and ready.
Robert Lampert: And my second question has to do with Mr. Hu’s judgment about how the Chinese consumer is embracing electric vehicles?
Kewa Luo: I think apparently, China’s current problem such as traffic congestion, limited parking and environment issue provide the opportunity for the consumers to start adopt the use of EVs especially nowadays we talk about sharing everything luxury. So I believe there is going to be future.
Robert Lampert: Well thank you. Looking forward to a great year next year, thank you.
Kewa Luo: Thank you.
Operator: Thank you. Our next question comes from the line of Larry Frieder [ph] with Fieder Brothers [ph]. Please proceed with your question.
Unidentified Analyst: Yes, thank you very much. I have two questions; one, I know the material depletion in our cash levels in around the corner with resuming operations from the government receiving cash, things should be fine. But are you confident with what you have now on the cash level that you don’t have to spirit around looking or more that you have enough for this period that you are subjected to and then secondly….
Kewa Luo: Can we just stop for one question, then you can continue with second.
Unidentified Analyst: Okay.
Kewa Luo: Okay so the subsidy I believe will be start paying very soon. So that’s a good thing. And secondly, because of the subsidy layer, you can see in Q3, we haven’t had a lot of productions. So we have already take this into the consideration and for the cost and for the Q4 forecast, we have saving to the market which already are based on the cash capabilities we have at this moment. So with the situation, I have to say the management team is prepared both me and the other partner Li Shufu, we and – we will hire, we have the confidence in going through this challenging period.
Unidentified Analyst: Thank you and then my second question is you referred to a misunderstanding with the government and presumably talks have been going on for some time now. Can you add some color, when you talk about resuming operations and giving back the getting back to normal in 2017, do you have every confidence that this is before yearend or perhaps first quarter 2017, can you add color as to when the government situation would be laid to rest?
Kewa Luo: I will say this on the forecast we have provided for Q4 which is 2000 to 2200 vehicles. You can see the improvement from Q3 to Q4, so I believe this is going to be a gradual process for the gap to be resumed but we are confident that is going to happen [ph] starting Q4.
Unidentified Analyst: Thank you.
Kewa Luo: Thank you very much.
Operator: Thank you. Our next question comes from the line of Jon Nash [ph] with DeRito Partners. Please proceed with your question.
Unidentified Analyst: Good morning. I have two questions. One, we always haven confusion about the manufacturing license between Kandi and the joint venture. We need really clear statement if Kandi is applying for their manufacturing license or and the joint venture is doing the same. You know, we never got a clearance of this.
Kewa Luo: For the production license that JV has been applying since 2015, the reason probably has created some confusion to you because the government is constantly changing the requirements so the JV Company also is revised – being revising the application according to the new standard that given by the government. We do have a confidence that the JV Company is going to get a license probably in 2017 that way having working really had to achieve that.
Unidentified Analyst: Just to follow-up, what with the Kandi itself, is Kandi is applying for the manufacturing license or is not going to apply or didn’t apply?
Kewa Luo: Are you talking about Kandi vehicles?
Unidentified Analyst: Kandi as a company not the joint venture, Kandi as a company?
Kewa Luo: Okay. No Kandi is not applying. Only JV Company is applying for the license.
Unidentified Analyst: Okay, thank you very much.
Kewa Luo: Thank you.
Operator: Thank you. Our next question comes from the line of Mark Miller [ph], a Private Investor. Please proceed with your question.
Unidentified Analyst: Good morning, gentlemen. I have two questions, over a year go the company announced its intention for a JV IPO in China. In reading the disclosure there was a word that the JV having a dual [ph] license would benefit the IPO. If for whatever reason the JV getting its own license delayed for an extended period of time. Could you IPO still be accomplished by using the Geely Auto license?
Kewa Luo: The process of preparing the JV Company to enter into the capital market is on track as planned. Having its own license approval will definitely be a plus but this won’t affect the JV Company’s progress. I would like to make a note that IPO won’t be the only approach for the JV Company to enter into the capital market. We also consider a more ambition way to maximize the JV Company’s evaluation.
Unidentified Analyst: And how is that?
Kewa Luo: For example we can be partnering with a Asian listed company, so that also can be considered.
Unidentified Analyst: Okay and then the next question please. Is the ZZY IPO off the store underway and so when might it be issued?
Kewa Luo: We got into the ZZY IPO even though Kandi is a shareholder of ZZY and ZZY as a independent third party, they are working independently on preparing for the entry in the capital market. It will be up to ZZY to disclose its progress. I don’t think it’s proper for me to comment on their status.
Unidentified Analyst: Okay, that will be fine. Mr. Hu, I’ve always been an ardent supporter of you. I wish you all the best, and America made the right choice last night, I am of the belief that you will make the right choice for the shareholder of Kandi. Thank you and have a great evening and we look forward to a great year coming. Thank you.
Kewa Luo: Thank you. We are very confident.
Operator: Thank you [Operator Instructions] Our next question is coming from Jerry McLemore with Williams Financial Group. Please proceed with your question.
Jerry McLemore: A few months ago, there were two multiyear purchase agreement, one for 50,000 units with a state owned company and the other for 60,000 units with China’s largest independent auto dealer. Those two contracts were valued to close to $2 billion with some $13 million advance. Two questions, first of all, how are those agreements progressing and the second one, how many units were filled in 2016 and what should we expect in 2017?
Kewa Luo: I will let – take your first question, first, okay.
Jerry McLemore: Sure.
Kewa Luo: Sir, can you repeat your question, first question?
Jerry McLemore: Yes, how are those agreements progressing as of now?
Kewa Luo: Okay. Right now, we have started to delivering cars for these two agreements.
Jerry McLemore: Okay, so we do know approximately how many would have been delivered or will be delivered in 2016 and what is the schedule for delivery of these in 2017?
Kewa Luo: Okay, so for this year, my guess is probably around 3,000 will be delivered in total for 2016. But this two agreement both are having a very long term around like 5 years, so we don’t have exact timeline for the delivery but I expect next year, each agreement should have about 10,000 vehicle to be delivered that is my guess.
Jerry McLemore: Okay so 3,000 this year and approximately 20,000 total next year for these two agreement. Is that right?
Kewa Luo: Yes, yes.
Jerry McLemore: Okay, thank you very much, I know times are trying but keep the good work up, thank you.
Kewa Luo: Thank you.
Operator: Thank you. Our next question comes from the line of Karl Scherer with [indiscernible]. Please proceed with your question.
Unidentified Analyst: Good morning, ladies and gentlemen. As a shareholder from the beginning, and as a consultant I have been happy to see that you are preserving cash and parking cash. At the same time, I am concerned about the progress of the company, are you assuming that with little or no further significant interference by regulators changing rules arbitrarily do you envision that Kandi joint venture can still be approaching the company’s 400,000 annual EV sales from its four facilities by 2020 and I have two additional questions pertaining to that?
Kewa Luo: In my opinion, I think, there should be no problem achieving the goal. With the recent changes from the government, I believe this is going to be beneficial for the industry going forward.
Unidentified Analyst: Thank you and pertaining to this, they are reading in the Chinese press about this licenses for EV manufacturers being limited to 10 licenses being applied and those licenses shall be given preferentially to companies that not only produce EVs but are having technological edge, Vanguard [ph] technology nobody else does have, this brings in mind the recent announcement of a collaboration with Alibaba with Uber and the ZTE about wireless charging, inductive charging for batteries without an outlet or autonomous driving and I am wondering how are you progressing on such a technology, Vanguard [ph] development?
Kewa Luo: Okay, first of all I would like to clarify that the information you read on the media about ten license is not correct. Government just have very high standard for license approval but it doesn’t necessarily mean that it only grant 10 license for – to the manufacturers in China. Second of all in regards to the high technology, we have been working on that as well. For now, we expect that for our next generations car will also have technology like collision protection, and some other technology that nowadays utilized on the cars. As you know that Geely has been worked with Volvo to enhance its technology product offering and give you a number for this coming year, Geely is estimate to have 80% increase in product sales, every others what appears only have 8%. As you can see Geely right now with partnership with Volvo, they have lot to offer and the technology level is already up to where the USA, Europe as standard is. So we are very confident that with the partnership with Geely, we are going to fall behind in terms of technology offering.
Unidentified Analyst: Thank you, that’s very encouraging. In that vein, on the way to producing 400,000 vehicles annually by 2020, would it be possible for company to update on the sales or deliveries of EVs every month. So shareholders and analyst could keep track on the progress of the company? It appears every other Chinese manufacturer is providing their sales numbers of a monthly basis, can Kandi do the same?
Kewa Luo: I want to once again clarify, it’s not that we are going to still have a production and sales of 40,000 vehicles by 2020. What I said earlier is our capacity is going to reach 40,000 by 2020. So I believe that there is still long way to be there. So by then, I would decide whether we are able to provide monthly figures.
Unidentified Analyst: I see, well it could certainly help on the way to both comfort shareholders as well as to support the share price I believe, other than that I would like to say that I admire how you adopt to changing environments and government regulations and having consulted automobile companies in Europe, I am very impressed on the speed and flexibility you display.
Kewa Luo: Thank you. So operator, I have one more question, I received the email, so I am just going to read it now. So this question is sent from a shareholder who is not about to get on the call. His question is regarding to the transfer agreement between Geely Auto and Geely Holdings, and he has four related question, the first one is one of the key reasons maybe in the transfer agreement was the inability of the JV to even apply for its own license as long as – as long it is significantly owned by an auto maker with its own license. Could you please explain this along ways, how soon will the transfer be finalized? This actually is already complete on October 26. Has one to share, on a conference call last year, it was reported that the JV had already applied for its own license, is that application still valid or because of the requirement changes earlier this year, does it have to be resubmitted once new qualification having met. The JV Company has started applying for its own license systems 2015 but the government is constantly changing the requirement but our application has been revised accordingly to the newest standard including the vehicle inspection. The work is internally in a pro process. The question is in the event that there is some capability found in the subsidy investigation and settled could that outcome disqualify or delay the JV from applying for its own license? These are separate things, the outcome from the subsidy investigation won’t effect the JV company from a client for the license. Operator, I think we are done with all the questions.
Operator: Thank you. At this time, I would like to turn the floor back to management for any final remarks.
Hu Xiaoming: Thank you, ladies and gentlemen for attending Kandi’s 2016 third quarter earnings call. In closing, allow me to represent the Board of Directors and the Management Team at Kandi Technologies Group to reaffirm our commitment. We will continue to work diligently to maximize shareholders’ value by focusing on growing our EV business strategically while delivering strong operational results. Thank you very much for your support. We look forward to talking with you in next question. If you have any additional questions, please don’t hesitate to contact our Investor Relations department. Thank you, good bye.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.